Company Representatives: Jeffrey Schwarz - Chairman Frederico Figueira de Chaves - Chief Financial Officer João Teixeira Wahnon - Director and Chief of Business Development Ben Schwarz - Head of Investor Relations
Ben Schwarz: Hello everyone! And welcome to Fusion Fuel Green’s Fourth Quarter Investor Update. My name is Ben Schwarz. I’m Head of Investor Relations at Fusion Fuel. I would like to first remind everyone that this call may contain forward-looking statements, including but not limited to the company’s expectation or predictions of financial and business performance, which are based on numerous assumptions around sales, margins, competitive factors, industry performance and other factors which cannot be predicted. Forward-looking statements are inherently subject to risks, uncertainties and assumptions, and they are not guarantees of performance. I encourage you to read the disclaimer slide in the investor presentation for a discussion of the risks that may affect our business or may cause our assumptions to be proved incorrect. The company is under no obligation and expressly disclaims any obligation to update, alter or otherwise revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. So, thank you all for joining us today. I’ll briefly run through our agenda for the next hour. So we will begin the preceding with some remarks from Fusion’s Chairman, Jeffrey Schwarz. Then, the management team will share some fourth quarter highlights, financial results and provide a business update. We will then open up the floor for a half hour of facilitated Q&A. As in our previous quarterly calls, all questions must be submitted in the chat box in the webcast platform. For those of you who have dialed in and have questions for management, please direct your questions to the Investor Relations mailbox at ir@fusion-fuel.eu. So with that, I will pass it over to our Chairman for some opening remarks.
Jeffrey Schwarz: Thanks Ben. Good afternoon or good morning as the case might be. I'm Jeffrey Schwarz Chairman of Fusion Fuel Green. We're about to begin an investor presentation where we will walk you through a summary of our financial results for the company's first full year of operation and then update you on business developments as we pursue our plan to build Fusion Fuel into a global player in the developing green hydrogen business.  In that regard, this may seem like business as usual. Make no mistake, it is anything but. Our thoughts are with the Ukrainian people. Russia's unprovoked invasion of Ukraine is an appalling violation of international law, resulting in a tragic loss of life and even if there were to be a best case outcome, will trigger humanitarian crisis. As a mediaeval Iberian poet and philosopher wrote, “I am at the edge of the west, but my heart is in the east.”  Before I turn it over to Frederico Figueira de Chaves, Fusion CFO, I'd like to offer a couple of observations on the company's first full year of operations. As I’ve said in past calls, my experience based on more than 40 years as an investor in public and private companies is that if you are serving the right market with the right people and the right product to technology, you have a recipe for great success.  Well, 2021 confirmed for me that Fusion possesses those three attributes. While green hydrogen is still a nascent market, interest in it accelerated throughout the year as evidenced by the pace of incoming enquiries from potential purchasers of technology to produce green hydrogen or alternatively to purchase the green hydrogen itself.  We were and continue to be successful at building out our team of talented and experienced individuals. In so doing, strengthening our R&D, production and business development functions, while also establishing a presence in Australia and North America, both being among the most attractive potential markets for our HEVO-SOLAR technology.  Test results at our first hydrogen firm in Evora, Portugal confirmed levels of production, modestly in excess of what we had expected. Our R&D team continues to innovate with the goal to constantly be bringing down costs and increasing performance of the HEVO. And the volatility in energy markets which resulted in spikes in both natural gas and electricity prices in Europe demonstrated the unique value proposition of our off-grid solution for producing green hydrogen.  Well, one could be forgiven for wondering, given all that why the disappointing share price performance. I'll simply quote Ben Graham, the Father of value Investing. “In the short run, the market is a voting machine, but in the long run it is a weighing machine.” Our goal at Fusion Fuel is to capitalize on our early mover advantage to build the heavy weight in the green hydrogen business.  With that, take it away Frederico.
Frederico Figueira de Chaves : Great! Thank you very much Jeffrey and thank you all for joining us today. I look forward to updating you on our progress. As always, before we get into the meet of the presentation, I want to recap for any new joiners on what Fusion Fuel is all about.  In a nutshell, we aim to deliver a cost effective clean hydrogen solutions. We do this through our proprietary miniaturized electrolyzer, combined with our concentrated photovoltaic panel. This allows us to offer a fully integrated, off-grid hydrogen solution, as it delivers a market leading costs of green hydrogen production.  Before going into the details of the company update, I would like to touch upon the hydrogen market overall. As Jeffery mentioned, the tragic events in the Ukraine have a direct impact on both the energy and hydrogen market. The continued increase in the cost of natural gas has a direct impact on the cost of the gray hydrogen, now reaching values of around €4 per kilo, without including the carbon charges.  Due to the ongoing uncertainty in the markets, this is a commodity that may continue to experience significant volatility and high prices. This is generating interest in green hydrogen sales industries that were previously reluctance on making the shift from gray to green. However, with energy prices also hovering at very high rates, any solution that requires energy from electrical grid are not commercially viable. Fusion Fuel’s off-grid integrated solution is perfectly suited for the current market conditions and we have been seeing continued increased interest in HEVO-SOLAR.  On the hydrogen market overall, we've also been seeing increased interest in the mobility sector in hydrogen, which is very exciting that this market seems to be taking shape even faster than we initially expected.  João Wahnon will update you on some of the company's financials, the main events that happened in Q4, as well as more of our recent developments that we've also been announcing. As we will dive in some of these items here later in the presentation, I’ll briefly focus on the items that are not outlined later on.  Firstly, we continue to add significant talent to our team, and most notably at a very senior level we added Terry Jester to our Board, bringing with her a wealth of experience in product development, production management and renewable energy. We also brought on three new executive committee members with David in Australia, and Zach and Jason in the U.S., all three bringing substantial knowledge and experience to our executive team and they highlight our ambition for significant growth in those markets.  Both the U.S. and Australian regions presented enormous opportunity for our technology. David, Zach and Jason have the experience to not only open up these markets for us, but also to help us across several strategic projects we have in the company more broadly. We're very happy to have them onboard and they are already having an impact in the company.  On the financials, we will provide more granular detail when we submit our audited financials as part of 20-F in April. So we continue to now for the course just do the sort of financial flash. In the fourth quarter we recorded negative operating costs, i.e., a positive P&L impact of €11.1 million. This was significantly driven by a release of previously recorded shared based payments. This is a non-cash expense or in this case a non-cash release.  The release is due to the forfeiture of the contingent capital consideration by three of the four parties involved in the 2020 business combination agreement. This was driven by a desire to remove a conflict of interest of the structure created between executives and shareholders. So this is an overall beneficial for the company. This resulted in a reversal of €19.6 million, which were netted with a Q4 share based payment charges. It leaves with us a net negative share based payment charge of €14.7 million as outlined on the slide.  In terms of actual cash expenses in the fourth quarter, we saw an increase of €1.7 million quarter-on-quarter. This increase was driven by large expenses during the year that were booked in Q4. These include about 0.5 million related to various auditing, accounting and grant advisory services; higher recruiting cost related to several senior and specialist function hires; and the booking of several large, yearly administration costs, which is transportation, rent, travel and business expenses, which fell in the fourth quarter. Going forward we will be amortizing that throughout the year and so that one-off impact will not be seen in 2022.  In addition, in Q4 we also welcomed 15 new hires in the quarter, including some senior managers, which also increased our personnel costs. For guidance for future quarters, we expect our operating cost quarterly run rate to vary and to develop from around 2.3 million to 3 million per quarter as the year progresses and as we continue to grow the team.  In Q4 we recorded a per-tax profit of €24 million, and as much as I'd like to take credit for that, this was also driven by another very large positive non-cash impact, and it's mainly driven by accounting practices and standards. As mentioned in previous quarters, we need to recognize fair vale movements on outstanding warrants. With the negative market developments at year-end we needed a book lease of €30 million in the fair market value of these instruments.  In terms of cash, we closed the fourth quarter with around €35 million in cash rather than liquidity instruments, and the main drivers of the €7 million cash drawdown in Q4 is comprised of the €3.65 million operating cost I mentioned earlier, and another roughly €3.5 million in raw materials and CapEx investments.  Now for our outstanding shares and warrants remain unchanged from the third quarter. As outlined in the third quarter, we introduced an employee incentive plan to both incentivize and retain personnel and ensure their alignment with shareholders, but also as a form to attract talent. So this is reflected in the very last line here on this table. This is the restricted stock units. We believe these are critical instruments to help us deliver the growth potential to us, and these restricted stock instruments are – well that’s serviced several years, so they form of a, I’d say lock-on for some of our key employees as well.  Now going into the business update, and I’ll go down the more dry and sort of technical parts of the presentation. We're excited to show you what we're working and where Fusion Fuel is today and where we’re already being a pioneer in the green hydrogen markets. So I’ll start by sharing our five key milestones for the 2022.  As you’ll remember from last year we had this slide each quarter, outlining what the priorities for the year was. Our intention is to do the same in 2022. So our five key priorities are, I’ll start with production. This is the go-live of our Benavente facility. So Benavente facility is critical for our growth. It's critical to deliver not only the increased production capacity, but also the reduction in unit costs of the HEVO-Solar and also on the securing the grants and financing for this facility.  Then secondly, is to continue to close both hydrogen purchase agreements and tech sales contracts, to fill our 2022 and 2023 targets, and importantly for that is also to secure grants for projects and development. So there's enormous amount of grants and programs available for clean hydrogen and green hydrogen solutions and we want to make sure that we are heavily participating in these.  On third: Tech, this is critical. We continue to evolve our HEVO and HEVO-SOLAR technology, right. At the hearts of our company is a large technology component and we intend to keep innovating, keep staying on the forefront of the technology piece of the business.  Throughout the year we will be launching different generations of the HEVO-SOLAR. These will either improve on the performance or will improve in the cost of the products. So this will be a continuously ongoing process, not only in 2022, but also in 2023.  We also want to introduce green oxygen capturing capabilities to our solutions. So our solution does produce oxygen with no emissions. So we want to have the ability to capture it. And we want to continue to innovate and develop further products. So over time we want to not only have the HEVO-SOLAR. We’d like to continue to work on new product developments.  Fourth, very important is the project development. So this is our ability to deliver and execute on projects in flight. We’ll touch upon a few of those in a moment. Also kick off and start the construction of some of the subsequent projects that we've already announced, that we’ve already approved, and importantly to secure the licenses for Fusion Fuel’s multi-year project portfolio. This is a challenging one, because the licensing environment changes country-by-country and is a very new world. But this is a core priority for us to make sure that we're able to deploy our units into the ground.  Lastly, and most expressively, we want to ensure that we have a robust safety culture across all areas of the company. We have hydrogen, producing facilities. We also have a production plant. Safety is going to be a principal pillar of the culture and DNA of this company.  I will start with Benavente. I’m very pleased to inform you that we have secured just under €10 million in financing support for the development of the Benavente production plants. It represents around 25% of the total investments expected in that plant over the coming two to three years, where we then plan to have a production capacity of around 500 megawatts a yeah.  The installation as I mentioned is at the heart of our growth trends and the financial support that we obtained from Portugal's trading and investment agency, highlights Portugal’s commitment to its announced hydrogen ambitions. We’ll continue to provide updates on the Benavente facility and development of it in the coming quarter.  Now, a quick update on Evora. So Evora 1 as Jeffery mentioned continues to produce hydrogen and receive visitors to sight. This was a critical and most important function of this demonstrator site. It also as Jeffrey referred to, continues to perform between 5% to 10% faster than was expected, depending on solar radiation, which is absolutely fantastic. We continue to work through the licensing steps required for full commissioning. With significant progress already made, we hope to finally – to fully go live in the coming months.  Evora is a true trailblazing project. It’s the first solar to hydrogen project in Iberia. It’s the first project for users’ hydrogen as energy storage to feed into the electrical grid, and so while everyone is talking about green hydrogen, we are the only ones currently delivering clean hydrogen from renewable energy source through to the electrolyzer, through to the end storage. The challenge is that we are also forcing the development of new standards and licensing frameworks as part of being the forefront of this market. Over time we expect that framework to become more straightforward with subsequent projects.  I’ll now pass on to João to update on some of the upcoming projects we have. 
João Teixeira Wahnon: Thank you, Frederico. We are very happy to announce that our HEVO-SOLAR project with an equivalent electrolyzers capacity of 3.5 megawatts has contracted non-recourse rent from positive funding programs. The project is located in the South of Portugal, more precisely in the Sines area and consists of installation of 178 HEVO-SOLAR units, which after commissioning will product around 418 tons of green hydrogen per year, considering day and night production. A portion of which will be used to produce green ammonia and the remaining will be mixed into the natural gas grease and are bottled for industrial users as well as mobility.  The global capital investment will be around €8 million and the project will receive €4.3 million from the positive funding during the construction period. Currently the project is under licensing process with the local authorities and national environmental agency, and we are waiting for the final licenses to start construction.  This product will have a strong worldwide visibility and will have an important role in demonstrating the economic use of our green hydrogen in several different options such green ammonia production, blending in natural gas with monetization of the certificates of origin and supply hydrogen refueling stations.  We entered also into an agreement with KEME Energy to install their green hydrogen plant in the same region of Sines, designed as Sines Green H2 Solar 1, whichalsocontracted non-recourse rent from of course a huge funding program. The project consists of installation of 62 Evora Solar Unites totaling a global capacity of 1.2 megawatts, which will produce 77 tons of green hydrogen per year, also considering day and night production. That will be bottled for industrial uses in the Sines community and also for mobility.  The global requirement investment will be around €2.54 million. The project is on the licensee process with local authorities and National Environmental Agency and KEME is waiting for the final licenses to start construction. This project is expected to be a net contributor for the aggressive decarbonization targets laid by the Portuguese government for the industrial and heavy transportation sectors. 
Frederico Figueira de Chaves : And as we did in Q3 we want to provide an update on our activities regarding funding programs for projects in the Portugal. So as mentioned several times and just a now, we are involved in three possible projects that were approved. But also during the Q4, we are also involved in three submissions to the component 5 program of Portugal’s PRR. But we expect to hear the results in September of this year.  More recently, we submitted – we were involved in submission of two projects to the C14 component of the PRR program, with a total of 10 megawatts, the localized capacity for those projects and we will continue to develop and submit projects to these programs as they open up. We are incredibly active in this space, and so far we’ve been quite successful in securing the grants for our projects.
João Teixeira Wahnon: As mentioned before, we signed a contract with Exolum, a leader in European fuel logistics and strategy provider to develop solar to hydrogen plant to supply green hydrogen near Madrid. It was the first third-party sale of HEVO-SOLAR technology, which will produce and supply green hydrogen to one of Spain’s first 100% green hydrogen refueling station. The Exolum project in Madrid consists of installation of 21 HEVO-SOLAR units to produce more than 40 tons of green hydrogen per year, being 20 tons produced during day time by direct conversion of solar radiation into green hydrogen and the additional 20 tons during nighttime using electricity of source. The project is under licensing process but already we see authorization to start site preparation and clearing.  We are already manufacturing the HEVO-SOLAR units and if everything goes according to the planning, we will start construction in May with the aim to fully commission the plant and till the end of quarter three this year. This project is very important to demonstrate the enormous advantage on our HEVO-SOLAR technology and concentrate our strategy in Spain, which includes the development of more than gigawatt of electrolyzers capacity in the next five years.  We entered into a very important collaboration agreement which AESA, a leading Spanish industrial engineering service companies and a pioneer in the decarbonization of industrial energy. But will focus on the substitution of more than 500,000 tons of gray hydrogen consumed annually by industry today in Spain, and promotes the transition to hydrogen fueled vehicles for logistics and outage [ph] fleets as well as the decarbonization of power generation and industrial heating.  Checking to the buyers, are actively developing the carbonization projects with major industrial clients, while we are positioned to benefit from the recently announced CapEx subsidy programs aimed at decentivizing the innovative use of green hydrogen technology across the industry value chain. By jointly going to market, Fusion Fuel and AESA together form the leading edge provider of turnkey low cost, green hydrogen solutions for decarbonizing industrial processes, thermal energy as well and heavy commercial vehicles. We also entered into strategic framework with HIVE Energy, a British renewable energy developer who has throughout Spain a portfolio of around 3 gig watts projects for green hydrogen and green ammonia production currently under development to supply the growing demand markets. Under this agreement we will supply our HEVO-SOLAR technology to HIVE Energy, who will develop and build a green hydrogen production plant in an exclusive technology supply deal.  The project has a target annual production capacity of some 7,500 tons of green hydrogen per year and is currency in its [inaudible] processing phase. We trust this project will be a first step on the road to a very significant portfolio of joint green hydrogen generation plants with HIVE Energy in Spain. 
Frederico Figueira de Chaves : So, as for Portugal, we’re already very active in engaging with the various strong programs in Spain and the Fusion Fuel team, Fusion Fuel Spain team has been unstoppable at going after these. In the MOUs programs, five projects totaling more than 15 megawatts have been submitted using Fusion Fuels technology and other projects are already being welded on for when the next programs open on.  Now coming to some of the new markets for Fusion Fuel. As we mentioned before, we have our partnership with Ampol, Australia’s Transport Fuel leader. We will look to – we will create a pilot trans in Brisbane to supply a hydrogen refueling station. The project and site development and licensing has kicked off. We’ve had our Ampol counterparts come and visit us in Portugal recently and we’re all extremely excited of the partnership between these two companies.  In the U.S., even though the team has only just started, we have hit the road running. The U.S. is obviously another key future market for us and it's one that's starting to take shape quickly. We started to take our first steps into this market with a project at the University of California, Irvine, for a solar to hydrogen facility. We submitted an ROI to one of the DOE's programs for this project and we're already actively looking into potential submissions for larger DOE programs that are part of the infrastructure investments and jobs act. So this is exciting early days for Fusion Fuel in the U.S.  It's been a while since we shared an overview of our pipeline. We hope this provides a good idea of where we stand now. We haven't included all markets we’re in discussions with. So if you will recall from the year ago we had things like in Chile and so on. Discussions there and other markets continue to be ongoing, but we've only included the projects that are – have a bit more shape to them at this stage.  So we currently have over 3,000 hectares reserved for our projects and the pipeline for prospective hydrogen prices agreements and tech sales, project's number, 36 different projects, 10 of which are already in the licensing phase. We've included on the right the respective megawatts electrolyzer capacity to be more easily compared to other players in the industry. We always think about it in terms of hydrogen. We'll see every announcement in the industry comes with megawatts, so we decided to clarify what our pipeline actually includes and you will have noticed maybe back in these different project slides we’ve been as much as possible including the megawatts electrolyzer capacity for clarity as well.  Although these 2.4 gigawatts of potential projects include non-committed projects, we're extremely excited at the level of interest and engagement in our solution. As the Australian and U.S. operations take shape, we expect this to grow further.  Now, before we go into Q&A, I’d like to recap on the core milestones, as this is a little bit stubborn of us. We show this slide twice every time. So as a reminder, production facility, one of our key priorities, moving the existing pipeline to close contracts, continued tech evolution and new product developments, project construction and licensing, and a overall safety culture across the firm. We truly are pioneering the green hydrogen market in Iberia and we’ll keep being at the forefront of this emerging megatrend industry.  Jeffrey opened today’s updates with a quote from Benjamin Graham and highlighted how we aim to build heavy weight in the green hydrogen business. In my closing I'd like to reference a quote from the heavy weight champion that captures how we will make this happen, and it's Muhammad Ali, his ‘Fly like a butterfly and sting like the bee.’ We’re small, we’re nimble, we’re agile. We’re innovative and we’re creative. We develop our own projects and we control their destiny and we intend to fully disrupt this industry.  So with that, I thank you and we’ll open up with Q&A.
Q - Ben Schwarz: Great! Thanks Frederico. So we’ll start with some questions we received over email. This is a question for João regarding the KEME project. Is there any expectation that the hydrogen produce from the 1.2 megawatt KEME project would be exported?
João Teixeira Wahnon: No, today the equipments to transform, to export the hydrogen is very complex. So at KEME green hydrogen will be used in the community of Sines, and at the same time part of it will be used for hydrogen refilling stations. But the concept is always for the community of the Sines city. 
Ben Schwarz: Thanks João. And as we continue to look ahead towards a more robust hydrogen export market, do you have a perspective on what forms of hydrogen look most economically promising. Whether that’s liquefy or green ammonia or something else entirely? 
João Teixeira Wahnon: Yes, in fact today the numbers, the studies that have been published, they clearly noted that the cheapest way to transport hydrogen export is by converting the hydrogen to ammonia and then cracking this ammonia to get again green hydrogen to be used. The cost of the liquid hydrogen is today very expensive. There’s only today one vote on a Japanese company, Kawasaki [ph] transportation of liquefied hydrogen and the costs today are still very expensive. There’s also one additional possibility. It’s in early stage let’s say, which is a liquid organic carrier, but today it’s still doing its first steps, so we cannot assume it as a reality.
Ben Schwarz: Thanks. This is a question for anybody. So we received a question of the maturity of the HEVO-SOLAR product and whether there are any future improvements of the product that are expected. Can you talk about that?
Frederico Figueira de Chaves: So, I’ll take that one. As I mentioned it our priorities, there is certainly an evolution of the HEVO-SOLAR generations, so we consider the products mature in terms of what we can place into the ground. This is why we are going to be delivering it to Exolum in a few months. But that said, we do have a significant pipeline of generations to come of the product. We will look to increase the performance of the product and able to decrease the costs of the unit. That doesn't mean that the units we have today are not mature. So this is just different generations the we will be deploying. 
Ben Schwarz: Thanks, we’ll pass it back to João. The next question is about the process of commissioning of plants. How long that process typically takes and what are the possible road blocks?
João Teixeira Wahnon: For the commissioning of a plant, we have to separate the commissioning, I think the built in processes and really the commission, the technical commission of the plant. So commissioning, so it’s starting reducing green hydrogen. It's a process that of course depending on the dimension of the plant can take, there is the two weeks to one month to commission and start producing.  I think the question is related to permitting and so permitting or the licensing process of a plant, sometimes depending on the land that we are using, if its agriculture land or if its industrial, it can take from very fast and again, depending on the dimension of the project, it can be done within six to nine months. But it can also aim for bigger plants. It can take one year to one year and a half. We, knowing that this process takes long time, we started permitting some of our projects one year ago. So today we can say that we have some projects already in advanced stage of permitting, but they will most probably can take six to nine months to become able to install the technology. 
Ben Schwarz: Thanks. And finally for the large projects that Fusion Fuel was looking to develop, how does that roll out work? Is the addition of new HEVO-SOLAR to existing installation expected to run smoothly?
João Teixeira Wahnon: For bigger plants we will install additional quantity of HEVO-SOLAR. So the small plant or a big plant, it has to do with the quantity of the number of HEVO-SOLAR’s that we will install. Of course these plants will all need different equipments, depending of course on the output of the green hydrogen produced. It will need different equipments for compression, for purification and for starters of course of the green hydrogen produced. 
Ben Schwarz: Next we’ll pass it to Frederico now. So in the context of the 2.4 gigawatts of project backlog or pipeline, can you attempt to quantify what those figures mean in terms of potential revenue or EBITDA margin? 
Frederico Figueira de Chaves: So, I’ll try to be very cautious here in my answer. But effectively I want to note that high buying includes hydrogen purchase agreements and tight sales. We will look to do the projects that achieve the sort of maximum returns to shareholders. So this could be projects that will have net present value for the ones we own for high gross margins. So it's hard to quantify it exactly. Plus as a rule of thumb, that’s a piece, sort of wholesale. The 100,000 HEVO-SOLAR’s and you’re selling at €30,000, that's a €300 billion pipeline on the very back of the envelope calculation. The EBITDA margin does change significantly, especially the short term if you’re doing HVA’s or if you were doing tech sales or the proportion of those. So I’m going to elegantly side step that question, but that you know puts into perspective the pipeline. The does not then certainly mean that we can do a pipeline this size and that you execute on it, but this is just the size of the pipeline with all the caveats we essentially have on that one.
Ben Schwarz: Thanks on the subject of the pipeline obviously, the go-live for the Benavente facility is critical to achieving it. How confident are you on the mid-2022 date for the factory to be up and running? 
Frederico Figueira de Chaves: So, initially we said that we would have the – last year we gave guidance that the factory would be up and running during Q3. We actually expect the first activities to already take place in the next quarter in Q2 with further roll out of different lines in Q3 and then some of the longer lead lines essentially during Q4. So we do expect to have activity in Benavente in the coming months. 
Ben Schwarz: Great! How are you thinking about production capacity at Benavente this year?
Frederico Figueira de Chaves: Sure. So, the production capacity and the guidance we gave last year was targeted around 2,000 and 2,500 HEVO-SOLAR’s. So that continues to be a potential targets for us of production capacity.  That said, I want to note one point here, which is we will produce what we need for the projects that we can deploy to. Producing for just the purpose of keeping in stock has two issues. The first is that it does need a significant amounts of capital; and the second is that, as we’ve had evolutions of the HEVO-SOLAR technology, we don't want to be keeping stock of previous generation of HEVO-SOLAR. So that is the production capacity, the 2,000 to 2,500. That's what we hope to be able to deliver on this year. The production volume will depend on the licensing of projects and what we can deploy into the field. 
Ben Schwarz: Great! So we received a question about the oxygen capture system. While it's still early, is there any additional detail you can provide on key milestones or projections?
Frederico Figueira de Chaves: Yes, I’d love to share this with you. That is a key target for this year. It would be too early to put out the figures on that piece. I just want to note that of course, whatever we produce in hydrogen, the rough calculation is what we produce in oxygen is 8x. So that gives an indicator of the potential volume of oxygen that we’re taking about. If the HEVO-SOLAR is producing one ton of hydrogen, we’re talking about around 8 tons of oxygen potentially being treated as well. So that’s – probably I will stop there on the guidance. 
Ben Schwarz: Thanks. There’s questions on the HEVO-SOLAR. If possible can you provide some addition information of performance. 
Frederico Figueira de Chaves: So as I mentioned before, we had in August, we showed the initial performance of the HEVO-SOLAR was around a little bit north of 10% better than we had initially expected. So if think that it was a one-time HEVO-SOLAR, we are talking about 1.1 or 1.12 tons for HEVO-SOLAR. Of course we saw the such strong performance of the summer months with high solar ration. Now that we’ve seen different months, we’re actually closing in on somewhere between 5% to 10% increase in performance. So as I said, from 1 ton to 1.08 ton, 1.07 ton or so on improvement in production. 
Ben Schwarz: Great! In light some of the increases in raw materials costs over the course of 2021, we received a question on expected manufacturing cost for HEVO-SOLAR this year. 
Frederico Figueira de Chaves: So the HEVO-SOLAR manufacturing cost for this year and future generation is we have several generations coming though. Give that some of these are tech sales, some of these are around product developments, we are not disclosing at this stage the exact cost of production, also given that we are in contract negotiations.  I do want to note that the – what we communicated about the target production cost of hydrogen is 2023, we still hope to be delivering at those cost levels, probably in the latter half of 2023. Parts of the increased production costs and raw material costs have been offset by grants that we have been able to secure and that we’ve mentioned before in this presentation, allowing us to still keep that target.
Ben Schwarz: Thank you. You alluded too that the cost of hydrogen production, are you able to share what the cost production we are at currency on a dollar per ton or dollar per kilogram basis for Europe? 
Frederico Figueira de Chaves: Currency at Evora we’d probably north of at around €40 per kilogram. As we said, as I mentioned before, our commitment which we mentioned before was the [inaudible] cost of budge and production costs, especially in the second half of later in 2023 to be €2. That’s at the cost of production.  The final cost of the hydro dependent on the use case, depending if its mixing nature gas, if it’s for cars, buses or trucks, also for that will change depending on the compression, purification charges. But from a pure cost of production, given the grants that can offset some of the price increases we continue to still be having that target. 
Ben Schwarz: Excellent! I’ll pass it back to João for a moment. Are there any issues with the Evora plant and if not, why is it taking so long to receive full commissioning? 
João Teixeira Wahnon: Yes. In fact what happens is with the Evora product, with the permitting process is that it’s – the project that [inaudible] the production of ground hydrogen, so steam method. The moment we started developing and we were the first in Portugal to develop green hydrogen projects. We came – suddenly we were caught in relations that didn’t exist. So our projects were considered, our production of green hydrogen was considered as the protection of the green hydrogen [inaudible] reforming.  In fact what happens is, if you go according to their actual regulations and certifications, we have to go through a process much complex. Which for instance includes studies of emission, of pollution emissions, which all of us we know that there is no pollutions at all from the electrolysis of the water to product green hydrogen.  This is a reason why the Evora project permitting process is taking more time than expected. All the local authorities and the environmental agencies are working together to try to make it more simple, as they all assume back the complexity of green hydrogen. It’s completely different from the complexity of gray hydrogen. And so we truly believe that in the next coming months it will be solved and so we’ll get the licensees and finish the permitting of the Evora project and we’ll open a new and faster way for the permitting of the future projects.  This happens in Portugal, but it’s the same thing exactly in Spain, in Australia. So this is a process that takes time, but it’s a learning process which we will be doing that. The coming projects will be much, much faster. 
Jeffrey Schwarz : I would like to add just two points there. As mentioned before, this is parts of the cost of being pioneers in the green hydrogen market. We are really opening up the green hydrogen market, right, and this is why we are also facing that.  The second one and just to answer a specific point there, none of the delays on commissioning are due to issues with our system. So issues with our system are not causing these delays. This is a permitting issue. 
Ben Schwarz: Great! Thanks. Given the size of Fusion’s own production capacity versus pipeline, how are you thinking about production going forward? Are you considering to open additional production capacity or potentially pursuing an outsourcing strategy? 
Frederico Figueira de Chaves: The simple answer is yes, and I think in addition to that we are also looking at potential strategic partnerships where they will make sense. So of course one of the things André and his team are looking into is the ease of production of the product. The ease of outsourcing production and potentially moving to assembly, all the way to the full outsource option.  So these are all things that are now sort of strategic discussions, and also activities that we count on and this is one where I mentioned at the beginning, very happy to have Terry, Zach, Jason onboard to bring in that addition expertise to help us with that – help us and André in that strategic assessments of our way forward of that. 
Jeffrey Schwarz : Ben, actually one moment. Frederico you mentioned the productive capacity for 2022, but as the various production lines will only be coming out into operations during the course of ’22, perhaps you could also offer what productive capacity of the Benavente facility would be in ‘23 without any additional capacity expansion. 
Frederico Figueira de Chaves: Sure, absolutely. So the 2023 production capacity, we are seeing between 120 to 200 sort of megawatts. That’s between 5,000 to 8,000 HEVO-SOLAR units that we will have to in a few months’ time make a decision on exactly what number we close for that additional capacity. Whereas the current target for the Benavente call it and to the production capacity of the [inaudible].  And in 2024 that would be increased further between the 200 to 400 megawatts production capacity and going into 2025 reaching the 500. Again the 2023 and 2024, it’s not a question of design. It will be a question on decision of how much we want to install and this will be driven by what we believe will be the projects we’ll be install in 2023 and 2024. 
Ben Schwarz: Thanks. Stick with me Frederico. What is the current cash burn and how is the company thinking about its cash position and potential sources of additional capital. 
Frederico Figueira de Chaves: Sure. So on the cash plan as I mentioned for the guidance being given on the operating cost between 2.3 million per quarter, all the way to sort of 3 million per quarter as a sort of development throughout the year, as a guidance with all the caveats that comes with giving guidance as things can change throughout the year. In addition to that sort of normal operating cost, we do have significant investments that we expect to make in Benavente and in some of the hydrogen plants.  Now the cash from there will also depend on the ability to secure some of the financing debts solutions for both those CapEx investments. We are in advanced discussions on that front, so we will provide a hopefully more detailed analysis on that cash spend, specifically on the CapEx side likely in the next quarter, so.  Now on how are things on the capital piece, sort of the second piece of the question then, my apologies. The first one there is that, is one of the ways to preserve capital is to produce really what is required into the projects that can go live rather than just producing for storage. So that allows us to, at the point that we product, we are able to put them into the filed. We are also able to secure the cash from the grants that are available. So this is why it’s important to also time that correctly.  In terms of potential capital raising in the future, this is something that we discussed on the board on what the possibilities are. Will we do a strategic capital raise, will we do an opportunistic capital raise, do we do one at all as we go with that. These are still conversations on the Board. Of course as we mentioned before, what we want to make sure is that we can deliver upon the growth potential that we see in the industry now. So that could take many shapes and forms, including strategic partnerships as well as.  Jeffrey, I will stop on that one there unless you want to add. 
Jeffrey Schwarz : Yeah, I just wanted to offer, at a higher level we have lots of different levers to pull, and people should understand that among those levers would be a shift in the percentage of business that we do between tech sales and our own hydrogen farms. So hydrogen farms require a capital investment over, where the payback is over an extended period of time. We will do those to the extent that they provide attractive returns on capital, and the returns on capital there will be dependent on things like what amount of debt financing we can get, what amounts of grants we can receive.  We have been approached by too many to count. Numbers of potential investors, folks who have said, we want to partner with you on projects. Firms that potentially have a lower cost of capital than we do, and there are lots of different ways to slice and dice how to structure the capital investment required for hydrogen firm, where the return would come over time within HBA, right. There is project finance potentially available; there are ways of structuring mezzanine type of earns targeted towards infrastructure funds that are looking for safe and secure returns over time or we could bring in people to be our partners in those projects at the equity level.  So between the different ways that we might be able to finance hydrogen firms and the ability to shift between tech sales and hydrogen purchase agreements, we have lots of ability to manage our capital needs, understanding that at the bottom what we are interested in is generating the best returns for our shareholders. So we are not going to look to dilute our shareholders with raising equity, unless we believe that equity can be put to work at very attractive rates of return. 
Ben Schwarz: Great! Thanks. Just a few more questions here as we get to the top of the hour. A couple questions on commodity inflation. How are increases in prices for raw materials and key components impacting product profitability? Are you able to pass through some of those increases to potential customers?
Frederico Figueira de Chaves: So I’ll take that question. At the moment as I mentioned, we are able to at least pass through some of those cost increases with the grants programs available. That's actually been probably the largest source of support for that cost increase. Of course it has helped that the – as mentioned before, both the market for gray hydrogen, but also the market for green and blue hydrogen has suddenly become more expensive, allows for a different commercial discussion when adjusting for some of your crises.  I will note though, on the price of raw materials, there are some prices of raw materials that we do suffer as everyone, aluminum being one of them. But we have also seen huge decreases in some of the components as the markets also mature. I will use an example of the membranes we’re securing – secured a price of a quarter of what we were paying a year ago. So even though that we do feel some raw material upward pressure in some components, just the ongoing development of the hydrogen well in general is also providing some relief in other components. 
Jeffrey Schwarz : Ben I just, once again I just want to jump in here for a moment to make two points. The first is that the green hydrogen market is very young, it's still developing and the sources of demands are developing. So some amount of demand comes from traditional consumers of hydrogen and who have been consuming gray hydrogen, who are looking for ways to reduce their carbon footprint. They have to think about how much more they are willing to pay for green hydrogen over gray hydrogen.  As Frederico said, the cost of gray hydrogen is a moving target and then they need to decide how much of a premium they are willing to pay. Some portion of that may be attributable to commits that they have made to shareholders or more broadly to their customers, about decarbonization commitments.  But at the same time, new – there are markets that are developing for green hydrogen. I think we have mentioned in the presentation the mobility market is one that is developing more quickly than we had expected. The mobility market is a market that pays a premium for green hydrogen.  So in terms of the company profitability, we need to look at a lot of different things. There is our cost of production, and then there is the price at which we can be selling either green hydrogen or the technology to produce green hydrogen. Can that be sold to subsectors of the market who are will to pay a bigger premium for green hydrogen, as is the case with mobility?  And lastly, as also has been mentioned, in thinking about cost of production and therefore what our gross margins would be. At this early stage of the development of the green hydrogen industry, the subsidies that are available from government by way of grants represents a very significant portion of what the all-in cost might be.  So while we and at our fellow competitors have experienced price increases for raw materials and some components, that’s only one portion of the story and I really would encourage folks be keeping their eye on our ability to generate sales, either tech sales or HPA's in higher margined portions of this market, and keeping an eye on that as the year progresses to see where we are able to be signing up revenue generation.  We are confident that given what the insights in 2022 and 2023 only developed – what we believe will be capacity constraints for Fusion Fuel, we will certainly look to take advantage of those high margin opportunities to maximize the potential, either gross margin on tech sales or realized over time via HPAs. 
Ben Schwarz: Great! Thanks. So we've reached the top of the hour. This concludes our fourth quarter webcast. If you have additional questions, please feel free to contact us directly at ir@fusion-fuel.eu or visit us at our website at www.fusion-fuel.eu.  Thank you all for your participation and engagement. As always, we look forward to our next quarterly updated. Thanks.